Operator: Good day ladies and gentlemen and welcome to the first quarter 2010 Calumet Specialty Products earnings conference call. (Operator Instructions) I would now like to turn the call over to Ms. Jennifer Straumins, Executive Vice President; please proceed.
Jennifer Straumins: Good afternoon and welcome to the Calumet Specialty Products Partners investors call to discuss our first quarter 2010 financial results. During this call Calumet Specialty Products Partners will be referred to as the Partnership or Calumet. Also participating in the call will be William Grube, our President and CEO and Patrick Murray, our CFO. Following the presentation we will hold the line open for a question-and-answer session. During the course of this call we will make various forward-looking statements within the meaning of Section 21(E) of the Securities Exchange Act of 1934. Such statements are based on the beliefs of our management, as well as assumptions made by them and in each case based on information currently available to them. Although our management believes that the expectations reflected in such forward-looking statements are reasonable, neither the Partnership, its general partner nor our management, can provide any assurances that such expectations will prove to be correct. Please refer to the Partnership’s press release that was issued this morning, as well as our latest filings with the Securities & Exchange Commission for a list of factors that may affect our actual results and could cause them to differ from our forward-looking statements made on this call. The first quarter of 2010 was a challenging quarter for Calumet, as it was for most independent refiners. We saw a continued weakness in our fuels products, 211 crack spreads which averaged approximately $7.50 per barrel over the quarter. Because of these weak refining economics we chose to operate our facilities especially our Shreveport refinery at reduced rates during the first quarter of 2010. The Gulf Coast 211 crack spread is currently almost $15.00 per barrel so we’ve restarted our idle [inaudible] at Shreveport and expect to have much higher production rates during the second quarter at all of our facilities. We continue to see specialty products demand increase. We sold on average approximately 13,000 barrels per day more during the first quarter than we did during the fourth quarter of 2009 and almost 3,000 bpd more than the first quarter of 2009. Crude oil which is our primary feedstock increased a little more than $6.00 per barrel during the quarter. We have announced several price increases across all of our specialty product lines and continue our efforts to increase our specialty products margins. We’re very pleased with how our LyondellBasell specialty products relationship is going. Our sales team continues in its efforts to place all of the production out of that facility. We are also continuing our fuels products and crude oil hedging programs. These programs continue to help protect us against rapid changes in pricing levels for both fuels products and crude oil. While we were discouraged by the weak refining margins during the first quarter we are very pleased and encouraged with today’s margins. I’d also like to announce that our collective bargaining employees have ratified a new labor agreement at our Cotton Valley refinery effective March 31 and at the Shreveport refinery effective April 30. Both of these agreements have three year terms. And finally as announced on April 12, 2010 the Partnership declared a quarterly cash distribution of $0.455 per unit for the quarter ended March 31, on all outstanding units. The distribution will be paid on May 14, to unit holders of record at the close of business on May 4. I’d now like to turn the call over to Patrick Murray for a review of our financial results.
Patrick Murray: Thank you Jennifer, net loss for the first quarter of 2010 was $13.1 million compared to net income of $75.6 million for the same period in 2009. The Partnership’s net income decreased by $88.7 million due primarily to both the decrease of $47.3 million in gross profit and decreased unrealized non-cash derivative gains of $47.5 million. We believe the non-GAAP measures of EBITDA, adjusted EBITDA and distributable cash flow are important financial performance measures for the Partnership. EBITDA and adjusted EBITDA as defined by our credit agreements were $9.1 million and $20.8 million respectively for the first quarter of 2010, as compared to $99.7 million and $50.1 million respectively for the same period in the prior year. The Partnership’s distributable cash flow for the quarter ended March 31, 2010 was $8.2 million as compared to $38.9 million for the same period in 2009. The decrease in adjusted EBITDA quarter over quarter was primarily due to the decrease in gross profit, partially offset by a decrease in realized loss on derivatives instruments of $7.9 million for the quarter as compared to the same period in 2009. We encourage investors to review the section of the earnings press release found on our website entitled, non-GAAP financial measures in the attached tables for discussion and definitions of EBITDA, adjusted EBITDA, and distributable cash flow financial measures and reconciliation of those non-GAAP measures to the comparable GAAP measures. Gross profit by segment for the first quarter of 2010 for specialty products and fuel products was $23.4 million and $8.3 million respectively compared to $59.8 million and $19.2 million respectively for the same period in 2009. The decrease of $36.4 million in specialty products segment gross profit was primarily due to an increase of 91.5% in the average cost of crude oil per barrel and reduced production. This oil production was primarily due to the deliberate reduction in crude oil run rates at our facilities due to poor economics of running additional barrels. Partially offsetting this reduction was an increase in the average sales price per barrel which increased our specialty product segment sales by 29.9% and an increase in sales volume of 10.9%. Fuel products segment gross profit was negatively impacted by the sales volume of our fuel products falling by 18.1% due to reduced production at our Shreveport refinery. In addition the average cost of crude oil per barrel increased by 93.7% as compared to the increased average selling price per barrel of 55.6%. These reductions in gross profit were partially offset by a $3.8 million net increase in derivative gains on our fuel products, cash flow hedges, recorded in sales and cost of sales. Selling, general and administrative expenses decreased $2.2 million or 23.1% to $7.2 million for the quarter ended March 31, 2010, from $9.3 million in the three months ended March 31, 2009. This decrease was primarily due to reduced incentive compensation costs of $0.9 million in 2010 as compared to 2009 due to the lower profitability in the first quarter of 2010, quarter over quarter, as well as reduced bad debt expense of $0.3 million. Transportation expenses increased $5.1 million or 33.6% to $20.2 million in the three months ended March 31, 2010 from $15.2 million in the three months ended March 31, 2009 primarily as a result of increased lubricating oils, solvents, and waxes sales volumes. Interest expense decreased $1.2 million or 14% to $7.4 million in the quarter ended March 31, 2010 compared to from $8.6 million in the three months ended March 31, 2009 primarily due to both lower interest rates and lower balances being carried on the revolver and term loan during the quarter ended March 31, 2010 as compared to the same period in the prior year. The decreased derivative gains of $39.6 million quarter over quarter was primarily due to increased non-cash unrealized gains in the first quarter of 2009 on our gasoline crack spread derivatives that were executed to economically lock in gains on a portion of our fuel products segment derivatives with lower volumes of these derivatives in the first quarter of 2010 and less market volatility. As of March 31, 2010 total capitalization consisted of partner’s capital in the amount of $445.9 million and outstanding debt of $367.4 million comprised of borrowings of $370.3 million under the term loan facility with an unamortized discount of $12.5 million on the term loan, borrowings of $7.0 million under the revolving credit facility and a long-term capital lease obligation of $2.6 million. The $39.5 million decrease in partner’s capital from December 30, 2009 is primarily due to a $16.4 million of distributions to partners, net loss of $13.1 million, and an $11.8 million decrease in other comprehensive income due to a decrease in the fair market value of our derivative instruments as well as the settlement of derivative instruments designed as cash flow hedges. These decreases were offset by $0.8 million of proceeds from the exercise of the underwriters over allotment option under our December, 2009 follow-on equity offering. As of March 31, 2010 we were in compliance with all the financial covenants pursuant to our credit agreements. While assurances cannot be made regarding our future compliance with these covenants we do believe that we’ll continue to maintain compliance with all the covenants in our credit agreements. On March 31, 2010 we had availability under our revolving credit facility of $141.2 million based on a $200 million [$200.4] borrowing base, $61.2 million in outstanding standby letters of credit, and outstanding borrowings of $7 million under the revolver. We believe that we’ll have sufficient cash flow from operations and borrowing capacity to meet our financial commitments, minimum quarterly distributions to our unit holders, our debt service obligations, contingencies, and anticipated capital expenditures. Now I’ll turn the call over William Grube.
William Grube : Thank you Patrick and Jennifer, this concludes our remarks. We will now be happy to answer any questions you may have. 
Operator: (Operator Instructions) Your first question comes from the line of Darren Horowitz – Raymond James
Darren Horowitz – Raymond James: Just a couple of quick questions for you, can you give us a sense of capacity utilization across your assets, you had mentioned that Shreveport experienced a bit of an uptick but I’m also curious as to where Cotton Valley and Princeton are running. 
Jennifer Straumins : For the first quarter, Shreveport ran about 30,000 barrels a day which is obviously well below the 55,000 that we would like to be running there and we anticipate getting back to those levels by the end of the second quarter, or early in the third quarter. At Princeton we are running at about 85% to 90% utilization and at Cotton Valley we’re running 100%. At Cotton Valley its [hydra treated] utilization, we can run 13,000 in crude but we’re running all the, our hydra treater is beyond full at Cotton Valley, its very close to full at Princeton. 
Darren Horowitz – Raymond James: Switching over to the price increases that you mentioned in an effort to keep pace with rising input prices, can you give us a sense for how much of your existing customer book right now has been shifted to revise pricing and also from a magnitude perspective just the percent of that price book increase relative to where it was previous.
Jennifer Straumins : We’ve announced between $0.50 and $0.60 a gallon in increases over the first quarter and 100% of our book of business has been impacted by that. During 2008 we changed 90% of our customers that were on quarterly or extended pricing terms, those prices all changed with the announcements at this point in time. So we are quite a bit more reactionary and can take advantage of price increases a lot better than we could a few years ago. 
Darren Horowitz – Raymond James: So from the point in time when crude oil prices rise to when you actually get your entire customer book worked through, is that typically now about four weeks, six weeks. 
Jennifer Straumins : That’s right, and again you have to take some supply and demand dynamics into this because there have been times where crude oil has increased but where we are not a major price leader in the market we’ve been waiting on our competitors for reprices and for what, because product is long in the market they’ve chosen not to do that. So, you’ve got to take some supply and demand into account and right now supply is very tight. A lot of our competitors have been down for turnaround or plan to be down for turnaround. We’ve just come out of turnarounds at several of our facilities ourselves, so, we feel like we’re in a great position for the second quarter. 
Darren Horowitz – Raymond James: On the fuel product side, gasoline and diesel volumes sequentially were off rather significantly, can you give us a little bit more insight as to what you’re seeing so far here in the second quarter and where you expect those lines to trend for the duration of the year. 
Jennifer Straumins : We expect Shreveport to run about 45,000 barrels a day during the second quarter and fuels are only made at Shreveport and they are about 50% at Shreveport’s yield. And the diesel gasoline, jet mix would be the same as historical. They are down through the first quarter because Shreveport was mostly impacted by our deliberate reductions in rates. 
Operator: Your next question comes from the line of Bradley Kelly - Magnum Opus Financial.
Bradley Kelly - Magnum Opus Financial: Two questions, my first was it seemed like derivatives played a big part in the first quarter as well as reduced sales volumes, do you have a feel of which had a bigger impact on earnings, whether it was the derivatives or the lower sales volumes of the products. 
Patrick Murray : Sales volume had a much bigger impact on derivatives, in terms of, if you’re looking at quarter over quarter results, there’s a big change in the unrealized non-cash portion. We tend not to focus on those because those don’t go into our calculation of adjusted EBITDA. But just from a realized standpoint derivatives on a cash basis had about $7 million impact quarter over quarter. So definitely it was more sales volume.
Bradley Kelly - Magnum Opus Financial: And most of that was from intentional reduction in capacity utilization in the first quarter.
Jennifer Straumins : That’ correct.
Bradley Kelly - Magnum Opus Financial: And then are you seeing an impact from what is going on in the Gulf and is it a positive or a negative for you in the near-term.
Jennifer Straumins : We’re not impacted at all by what’s happening in the Gulf. 
Operator: Your next question comes from the line of Ray Tizabi – PineBridge Investments 
Ray Tizabi – PineBridge Investments : Just a quick question on revolver capacity as of today or as of the end of April, can you touch on that. 
Patrick Murray : We typically don’t comment on interim periods on capacity but I mentioned we were at the end of the quarter we are at around $141 million of availability and we think that our availability is ample going forward. 
Operator: Your next question comes from the line of (inaudible).
Unidentified Analyst: I’d like some discussion is you might about the distribution I know in your presentation you made some comments about you felt adequacy to maintain minimum distributions as well as all debt service, etc., could you give us some indication of the distribution. 
Jennifer Straumins : Our current [inaudible] is $0.455 per unit, we’ll speak to coverage ratio a little bit, our coverage ratio for full year of 2009 was 1.5x and while it was a little less than one times this quarter we do see some seasonality in our results so we are not concerned at all by the less than one times distribution coverage for this quarter and feel that going forward our target would be that 1.3 to 1.5x distribution coverage and really do not speak to increases but at this point in time, would not be concerned at all about distribution being lowered if that’s what you’re concerned about. 
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments. 